Operator: Ladies and gentlemen, good day and welcome to iStar Financial’s Third Quarter 2011 Earnings Conference Call. (Operator Instructions) As a reminder, today's conference is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Jason Fooks of iStar Financial Investor Relations and Marketing. Please go ahead, sir.
Jason Fooks: Thanks, John, and good morning everyone. Thank you for joining us today to review iStar Financial’s Third Quarter 2011 Earnings Report. With me today are Jay Sugarman, Chairman and Chief Executive Officer; and David DiStaso our Chief Financial Officer. This morning’s call is being webcast on our website at istarfinancial.com in the Investor Relations section. There will be a replay of the call beginning at 12:30 pm Eastern Time today. The dial-in for the replay is 1-800-475-6701 with a confirmation code of 220031. Before I turn the call over to Jay, I’d like to remind everyone that statements in this earnings call, which are not historical facts will be forward-looking. iStar Financials actual results may differ materially from these forward-looking statements and the risk factors that could cause these differences are detailed in our SEC reports. In addition, as stated more fully in our SEC reports, iStar disclaims any intent or obligations to update these forward-looking statements except as expressly required by law. Now, I’d like to turn the call over to iStar’s Chairman and CEO, Jay Sugarman. Jay?
Jay Sugarman: Thanks Jason and thanks to those of you joining us on our call this morning. The third quarter results were impacted by both the weakening in the macroeconomic environment and our continued efforts to reposition the portfolio and streamline the balance sheet. We continue to pay down debt at a steady pace and we took advantage of week market conditions to repurchase approximately 13% of our outstanding shares during the quarter. And while the net effect of those actions help build our adjusted book value, we continue to see losses on the income statement from increased interest cost, ongoing provisions and impairments and a large number of assets not yet generating reportable income. So for the third quarter, earnings came in at a negative $62 million and adjusted EBITDA came in at a positive $83 million. Provisions and impairments were mostly offset by our previously deferred gains with a lack of income from the $2.6 billion of OREO and NPL assets. We continue to make it difficult to boost those numbers until a meaningful percentage of those assets start contributing. Liquidity remains solid with over $200 million in cash at the end of the quarter and approximately $350 million projected at the end of October. This projected cash balance was helped by the recently announced sale of most of our interests, the general partner of Oak Hill Advisors, the large corporate credit manager, which we have partnered with in 2005. With a strong relationship with Oak Hill in place in an ongoing investment and several Oak Hill fund, we look forward to continuing to benefit from their strong presence and expertise in the credit market while being able to redeploy the capital we’ve had invested in the parent company. We also saw a steady repayments in the rest of the loan portfolio with approximately $270 million coming in during the quarter. On the other side of the ledger, we have been adding investments in our existing portfolio, situations where the returns seem attractive, funding a little over $50 million using primarily recycle proceeds from sales in our OREO book. On the credit metrics, we saw an overall risk ratings and credit provisions remain in the similar range to the last quarter, though a weakening economy during the third quarter gives us some pause that the refinancing prospects of some of our borrowers in the near-term. Lastly on the balance sheet; we’ve got our total debt down below $6 billion, split pretty evenly between secured and unsecured debt, and it’s continued to try to protect book value. As I mentioned, we were pleased to able to acquire a significant portion of the outstanding shares of our company at a price below $6.50 per share, a significant discount to the $15 adjusted book value at quarter-end, which adds back general reserves and depreciation since January of 2010. With that quick update, let me turn it over to Dave for more of the details. Dave?
David M. DiStaso: Thanks Jay, and good morning everyone. I'll begin by discussing our financial results for the third quarter 2011 before moving to investment activity and credit quality, and I’ll end with an update on liquidity. For the quarter, we reported a net loss of $62 million or a loss of $0.71 per diluted common share compared to a net loss of $84 million or a loss of $0.89 per diluted common share for the third quarter of 2010. The year-over-year improvement was due to a lower loan loss provision and impairments of $19 million versus $84 million in the same period last year, as well as a $22 million gain from discontinued operations, which we previously deferred as part of our net lease portfolio sale in the second quarter of last year. This was partially offset by decrease in revenue from $133.3 million in the same period last year to $97 million in this quarter and also higher interest expenses. Adjusted EBITDA for the third quarter was $83 million compared to $97 million for the same period last year. Year-over-year decrease was due to lower revenues from a smaller overall asset base, partially offset by the gain from discontinued operations previously mentioned. During the quarter, we repaid the remaining $170 million of our 5.65% senior unsecured notes due September 15. We also repurchased $48 million of senior unsecured notes effectively at par. In addition, we paid down $184 million of debt on the A-1 Tranche facility during the quarter, bringing the outstanding balance down to $1.07 billion at the end of the quarter. Cumulatively, we paid the A-1 Tranche down by approximately $430 million, which exceeds the $200 million minimum amortization requirement by December 30, 2011. At the end of the quarter, our leverage was 2.1 times and our weighted average effective cost of debt was 5.7%. During the quarter, we repurchased 12.1 million shares of common stock with $77 million utilizing essentially all of our previously authorized share repurchase activity. This buyback activity resulted in a decrease of total common shares outstanding at the end of the third quarter to 80.5 million, a 13% reduction from the end of the second quarter. During the third quarter, we generated $318 million of proceeds from our portfolio, comprised of $272 million of principal repayments and $46 million from sales of other real estate owned. In addition, we invested $55 million during the quarter. Subsequent to quarter end, we sold a substantial portion of our interest in Oak Hill Advisors and related entities and expect to record a pre-tax gain in the fourth quarter of approximately $30 million over the carrying value of the investment. We will continue to retain an interest in certain Oak Hill funds as well as certain fee streams. Let me now turn to the portfolio and credit quality. At the end of the third quarter, our total portfolio had a carrying value of $7.37 billion gross of general reserves. This was comprised of approximately $3.4 billion of loans and other lending investments, $1.8 billion of net leased assets, $1.6 billion of owned real estate and $621 million of other investments. At the end of the quarter, our $2.3 billion of performing loans and other lending investments had a weighted average LTV of 78% and a maturity of 3.4 years. The performing loans consisted of 53% floating rate loans that generated a weighted average effective yield of 6.3% for the quarter and 47% fixed rate loans that generated a weighted average effective yield of 7.8% for the quarter. The weighted average risk rating of our performing loans was 3.35 at the end of the quarter, unchanged from the prior quarter. Included in our performing loans were $42 million of watch list loans, a decrease from $74 million last quarter. At the end of the third quarter, our non-performing loans or NPLs had a carrying value of $1 billion, net of $613 million of specific reserves. This is a slight decrease from $1.1 billion, net of $589 million of specific reserves, at the end of the prior quarter. Our NPLs consists primarily of 34% land, 26% apartment residential, 18% retail assets, 8% of entertainment leisure, and 7% hotel assets. Our $1.8 billion of net leased assets, which are recorded net of $355 million of accumulated depreciation, were 89% leased with a weighted remaining lease term of over 12 years. They had a weighted average risk rating of 2.70 versus 2.69 in the prior quarter. For the quarter, our occupied net leased assets generated a weighted average effective yield of 9.9%, while our total net lease portfolio generated a weighted average effective yield of 8.5%. Let me now turn to our owned real estate portfolio; at the end of the quarter we had $669 million of OREO assets. OREO assets are considered held for sale based on our current intention to market the asset and sell them in the near term. Also $955 million of assets were classified as real estate held for investment based on our current intention and ability to hold them for a longer period of time. During the quarter, we took title to a property with a carrying value of $694 million. In addition, we also recorded $9 million of impairments within the OREO portfolio. For the quarter, our owned real estate portfolio generated $8 million of revenue offset by $20 million of expenses. In addition, we funded $19 million of capital expenditures. Let me move onto reserves. We recorded $9 million provision for loan losses in the third quarter, versus $10 million in last quarter, while we have seen provisions continue to trend lower over the past year, it is possible we will see quarterly fluctuation. At the end of the quarter, our reserves totaled $710 million consisting of $633 million of asset-specific reserves and $77 million of general reserves. Our reserves represent 18% of total gross carrying value of loans. Finally, let me conclude with a discussion on our liquidity. Aside from our pay downs to our secured credit facility, which will occur as the underlying collateral is repaid or sold, our next debt maturity will be at $290 million bond during March of next year. Other expected uses of cash for the remainder of 2011 include approximately $80 million of loan and investment funding, approximately $25 million of capital expenditures on our owned real estate portfolio, and approximately $80 million of other net cash uses such as interest expense. Our unsecured bonds have an unsecured assets to unsecured debt maintenance covenant and a fixed charged coverage incurrence covenant, and we remain in compliance with these covenants. As we said last quarter, we do expect our ability to incur incremental new debt will be limited by the minimum fixed charge coverage ratio. However, we will be able to continue to refinance existing debts. With that, let me turn it back to Jay. Jay?
Jay Sugarman: Thanks Dave. Well, I am not sure there is much more to report, so why don’t we just open it up and see if there are any questions operator.
Operator: (Operator Instructions) Josh Barber with Stifel Nicolaus. Please go ahead.
Joshua Barber – Stifel Nicolaus & Company, Inc.: Hi, good morning. Jay, in light of your comments about, you’re seeing some sort of pause in borrower refinancing given what’s going on in the economy, I’m trying to reconcile that with the drop in your watch list assets. And the general refinancing environment that you guys see for the next six months as loan repayment slowing down, what are you guys expecting in terms of your overall cash uses and I mean I know that they’ve just outlined those cash uses but can you talk about what you are actually expecting in the next six months?
Jay Sugarman: I think the market conditions towards the end of the third quarter, and even into the beginning of October, we saw pretty wide moving credit spreads. When they gap out like that typically there is a slowdown in people’s mentality about what they want to do, and certainly CMBS markets slowed down and the refinancing markets look like they’ve slowed down. We want to keep people abreast of that dynamic. Obviously in the last couple days, you’ve seen the market go the other direction. So we’re cautious in the sense that lot of big macro and global variables are out there that will impact how borrowers think about moving forward and how the markets will, provide capital to them, so them to keep on the radar obviously. That said, I think real estate and yield oriented hard assets are still going to be in favor regardless of that macro environment. I think the timing gets impacted when confidence gets pulled out of the market, but the underlying fundamentals at least in the domestic market being reasonably good. This morning's reports were unsurprising, which in this market is a good thing. We saw a little bit of confidence creeping back into some of the numbers. So we're like you, probably very interested in how that all plays out both in the European markets and with the deficit reduction packages that are due on the coming months here. A good solid confident performance certainly going to help us and probably turns the tide to make us a little more favorable over the next six months. What we have to be cautious and think about what happens if they don't get it together. In terms of actual liquidity again, we have a pipeline of things that are expected to repay. We have a number of assets that will mature over that period of time and borrowers are lining up their capital. But as I said, the market conditions will have an impact on that. So, we certainly don't want to be overconfident about our borrower's ability to perform in a timely fashion.
Joshua Barber – Stifel Nicolaus & Company, Inc.: But in terms of loan sales, have you seen any pullback in that market or is there still some pretty good demand from other vendors either buying assets, be it distressed or performance?
Jay Sugarman: Our market remains strong. We see it both on the portfolio side through LNR and we see it on an individual side for our own effort. Again, more yield oriented, I think the market is grinding tighter in terms of what if market expectations are for a return. So good high yielding, long live, reasonably safe people are releasing that’s a harder and harder thing to get anywhere in the capital markets and credit markets. And our hard assets like, real estates that it come with those characteristic, we continue to think are in demand. But again, confidence is an interesting thing and when people don’t have it, you see the market come apart a little bit, but right now, we’re still seeing pretty solid demand for good real estate asset.
Joshua Barber – Stifel Nicolaus & Company, Inc.: Okay. Last question, it looks like you’ve pretty much exhausted your existing share repurchase capacity. Is there a plan for the board to be authorizing an additional share repurchase capacity given how successful it seems to have been so far?
David M. DiStaso: I mean, we have the conversation every board meeting, what's the best use of capital, how aggressive that we want to be in terms of monetizing assets, how we want to prepare ourselves for debt maturities and then, playing into those thoughts are how do we increase or protect book value as best as possible. So it’s always on the table, we want to be judicious and thoughtful. We don't have unlimited capital, obviously and so it’s always a balancing act that we go through with our board, we provide in more thoughts our recommendation our projections and we have a pretty good conversation about it obviously. Last quarter, we felt that price reflected a very attractive way to reduce the flow and buy in at a meaningful discount through adjusted book.
Joshua Barber – Stifel Nicolaus & Company, Inc.: Thanks very much.
Jay Sugarman: Next up.
Operator: Our next question is from Michael Kim with CRT Capital Group. Please go ahead.
Michael Kim – CRT Capital Group LLC: Thanks for taking my question. Good morning. Jay, just wanted to talk about other real estate owned, and I just wanted to see what the impairment during the quarter was related to and perhaps, if you could give us some sort of sense of when that [read] timing as to when we may see some gains being booked on the sale of real estate owned?
Jay Sugarman: Hey Mike, look it's about $1.5 million between held for sale and held for investment and again, $9 million plus or minus in the quarter on a $1.5 billion is going to be within the sample size you should expect.
Michael Kim – CRT Capital Group LLC: Okay.
Jay Sugarman: We had a couple small things happened at the end of the quarter that just gave us pause and are re-underwriting that we do. We came up with some different values, some of that due to stretching out, dates of monetization and when you got a pretty solid discount rate attached to those analyses or even a small delay is going to cause a value change. But again, within the context of the book, I was not surprised one way or the other by that number. And I do think you know we believe in 2014 you’re going to see a meaningful number of those assets back on the positive side of the ledger? 2013, I think you know its kind of a transition year where we’re going to see a lot of them start moving into the good side of the ledger. It’s hard to see in 2012 of getting a meaningful enough percentage of those on to the right track to believe they’re going to have a big positive impact. That would be a positive and pleasant surprise, but I would say right now, we still think you know to get the majority of that 2006 book or $2.6 billion book to move, it’s going to take us at least six, seven quarters to move the big bulk of that into the reportable income side of the ledger.
Michael Kim – CRT Capital Group LLC: I see. And just to talk about I guess, asset sales you know selling Oak Hill I guess, you know based on my estimates and implied valuation is almost 4% of AUM. It seems like they are really fair price given the environment. Just curious if there are any other non-strategic assets that may be considered for sale in over the coming quarters, whether its CTL assets or other items in the balance sheet?
Jay Sugarman: Yeah, I think while Oak Hill is a core area of expertise that we still like and you know want to have a strong inside into, from an investment standpoint having that much capital tide up probably didn’t make sense as we move to really redeploy back into the core side of our business, where we’re seeing you know quite attractive opportunities in our own portfolio and we’re seeing a market environment where we think that capital is better used elsewhere. There are a lot of other areas where we think, their truly non-core, but again, you’ve seen us continue to pay down the balance sheet. We will focus it on our strength, we will focus on things we think we had competitive advantage in and where we can redeploy capital at high rates of return both within our own balance sheet and potentially even new opportunities that make sense to us. We got a great relationship with Oak Hill. We continue to be 10 floors apart, so we spend a lot of time chatting with each other on our various views on the credit markets and capital markets and global macro economic conditions, what we thought is the right move at this point from both them and us to redeploy that capital back into our core mission.
Michael Kim – CRT Capital Group LLC: All right, thanks. I appreciate. And then, just to think about some specific assets we’ve been tracking some of your individual non-performing loans and saw a written house by case of dismissed and you know to my knowledge that might be one of the larger non-performing loans in the book. And I guess given this kind of development where the next steps for this particular asset? Is that something you could share with us?
Jay Sugarman: As you know, we don’t love talking about particular assets particularly once that’s gone through litigation, but…
Michael Kim – CRT Capital Group LLC: Right
Jay Sugarman: We’ve got high quality assets in a lot of key markets that is a city center in main location with a Robert Stern, highly, desirable, architectural building, but we need to get it in strong hands. We need to give the market the sense that, now here it is, it’s in unlevered asset, there are no problems and we are committing actually quite a bit of capital to even improve what’s there, so they want buyers walk in. They’re not only pleasantly surprised, but they’re going to be really impressed by the quality of the project. I think you’ll see us do that around the country once we get control of assets. Often times, borrowers have been underfunding the projects during a litigation or during their personal bankruptcies. It’s going to really help the portfolio for us to get back in the saddle and be able to put professional management and the capital strength of iStar behind those projects. And we’re quite excited in at least the number of phases where we have great locations and great buildings that the results will certainly start to come in the way we’d hope they would.
Michael Kim – CRT Capital Group LLC: All right. And just as a housekeeping item, the loss in the early extinguishment of debt you know was just hearing Dave’s comments that buying back bonds in the open market that are around par, the remaining differential there would assume that it’s related to the secured bank debt. Is that correct?
David M. DiStaso: Yes, that’s correct, Michael. You know, we had a very minimal gain on the repurchase of the bonds that was offset by the amortization of deferred financing fees and costs associated with it. As we accelerate their repayment of the debt that pulls in more of those costs into the P&L and that’s where the losses came from.
Michael Kim – CRT Capital Group LLC: Okay, great. Thank you very much.
Jay Sugarman: Thanks Mike.
Operator: Our next question is from Amanda Lynam with Goldman Sachs. Please go ahead.
Amanda Lynam – Goldman Sachs Group: Hi, thank you. Good morning. I was just hoping you could address the maturities in a bit more detail specifically year-on-year term maturities. Is that your preference to perhaps conserve cash on the balance sheet and repay those supply maturity or are you looking to refinance in the market, and for the longer-term maturities that you have in – later in 2012, what current options are you considering for addressing those upcoming debt payments? Thanks.
David M. DiStaso:  Amanda, I guess a similar answer we’ve given over the years, which is, it’s certainly our preference if the capital markets are able to provide I mean, either secured or unsecured basis attractively price capital. We’d like to continue to take advantage of that. But we’re using our internal balance sheet to really plan around, not assuming there is outside capital. And we’ve got a very large unsecured asset base that we continue to tap to be well ahead of our maturities. That is the base plan and anything we can do to enhance that through third-party capital is going to be a plus to that plan. We certainly have enough capital on the balance sheet today to take care most of the maturities through June. We have an extensive list of assets that people have expressed and interest in on reverse enquiry that we can certainly reach out and try to tap further monetizations ahead of time. And as we get towards the end of 2012, we believe the overall leverage of the balance sheet will be declining enough that we can look at a whole host of things in terms of thinking about what’s the optimum mix of debt and secured and unsecured debt on the balance sheet. So, I wouldn’t tell you we’re sitting today focused exclusively on October. We solved certainly the near term liquidity issues that we wanted to have in place for the fourth quarter and the first quarter next year. We're beginning the work to make sure we have the liquidity for the second quarter and third quarter and then, that fourth quarter maturity will be one we’ll start focusing on early next year.
Amanda Lynam – Goldman Sachs Group: Got it. Thank you very much.
Jay Sugarman: Thanks, Amanda.
Operator: (Operator Instructions) And we’ll go to Usman Waheed with PSAM. Please go ahead.
Usman Waheed – PSAM: Hi, thanks for taking the question. I think most of it has been answered, just some clarifications. The 350 million pro forma balance for cash that you mentioned for October, is that including just the Oak Hill monetization after-tax or anything else and then, on the balance sheet itself, the assets held for sale item of $34 million, if you could just clarify what that was and then number three, just related to this topic. Equity method distributions, since you’re keeping the LP interests in the Oak Hill funds, should we see any adverse impact in the size of those distributions?
Jay Sugarman: Let me hit the first couple and I might need you to repeat that third question. So the 350 projected is all ins and outs including Oak Hill was the projection for the entire balance sheet going forward, since we’re couple of days away from the end of the quarter, end of the month, we thought we’d give you that number. Now the held for sale relates to a particular assets, that we’re in the process of putting together the final touches on. So it's part of a transaction that's been in the work, so we just haven’t quite gotten the capital in by quarter end. So it's on the balance sheet as they held for sale, certainly expect that transaction to close in the fourth quarter. Your third question, can you just give it to me more time.
Usman Waheed – PSAM: Third question, your, the sale of Oak Hill, that's just the GP interest that you sold. So you still have the LP investments. So then I was wondering if there is any impact you expect to the size of the equity distributions, distributions from equity method investments that you receive?
Jay Sugarman: Sure. I mean the income we’ve been generating out of the Oak Hill GP shot up through those line items. So that's what we sold in effect.
Usman Waheed – PSAM: But from a cash flow perspective, the actual distributions would be from the LP’s, wouldn’t that?
Jay Sugarman: No. Historically, we were 47.5% owner of all the fee streams and promote that all came (inaudible).
Usman Waheed – PSAM: Okay.
Jay Sugarman: The LP distributions are coming from specific capital investments we made into their opportunity fund. Those distributions have flown back – flowed back through but they are not as consistent or regular way of the GP floor.
Usman Waheed – PSAM: And can you speak to how bigger component of your historical equity distributions have come from the Oak Hill GP. 
Jay Sugarman: I think since we did the deal of five historically an unlevered ROA has been in the 10% to 12% range, which is probably a little bit lower given the credit market performance through the end of September.
Usman Waheed – PSAM: And that’s on a cash basis?
Jay Sugarman: Yeah I mean timing wise I couldn’t tell you exactly, but it all trues up in the end. It’s been about 10 to 12.
Usman Waheed – PSAM: Great, thank you very much.
Operator:
 :
 :
Ryan Butkus – Citigroup, Inc.: Just I was wondering if you could just perhaps take us through the portfolio if there are any surprising either positive or negative developments that we’ve seen within either geographically or property by property type any specific trends resulting as we enter 2012?
Jay Sugarman: As we mentioned earlier I think the net lease income streams have grown in importance in terms of industries desiring longer term less near term exposure and high strong yields, we’ve seen a lot of reverse [incre] in that portfolio. Conversely, I would say Europe given some of the struggles going along over there probably more of a flash point in terms of borrowers having trouble during executing their business plans the way they thought and certainly way we hope they will be able to do over the couple of years as I said the resolution to some of the issues over there to reinstall confidence would be a good thing both for US generally but also for our European investments at this point.
 :
 :
 : So I’d say again this underlying theme of macro-economic conditions and confidence is really the key variable for us, we’ve done a lot of good work in the portfolio, I think real estate is a attractive asset class generally speaking a high quality assets are the place to be cash flowing assets even better. But all of those things get undermined when the market loses steam and certainly loses confidence and the ongoing uncertainty is probably the key variable holding back, pretty positive movement in real estate.
Ryan Butkus – Citigroup, Inc.:
 :
Jay Sugarman: Yeah we’ve had a continuous dialog with the rating agencies just keeping them impressed obviously financial results and what has been going on with our debt and we continue to do that on a quarterly basis and we do have plans to sit down with them through out 2012 just keep them in line with exactly what is going on with iStar.
Ryan Butkus – Citigroup, Inc.: Thank you. 
Operator: And Mr. Fooks no further questions.
Jason Fooks: Thanks John and thanks everyone for joining us this morning. If you should have any additional questions on today’s earnings release, please feel free to contact me directly. John, would you please give the conference call replay instructions once again. Thank you.